Operator: Good day, and thank you for standing by. Welcome to the Q2 2025 Nu Skin Enterprises Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, B.G. Hunt, Vice President of Treasury and Investor Relations. Please go ahead.
B.G. Hunt: Thanks, James, and good afternoon, everyone. I'm joined by Ryan Napierski, President and CEO; and James D. Thomas, CFO. We are excited to share Nu Skin's results from Q2 of 2025. Before I turn the time over to Ryan, let me point out that on today's call, comments will be made that include forward-looking statements. These statements involve important risks and uncertainties, and actual results may differ materially from those discussed or anticipated. Please refer to today's earnings release and our SEC filings for a complete discussion on these risks. Also during the call, certain financial numbers may be discussed that differ from comparable numbers obtained in our financial statements. We believe these non-GAAP numbers assist in comparing period-to-period results in a more consistent manner. Please refer to our investor website, ir.nuskin.com for any required reconciliation of these non-GAAP numbers. And with that, I'd like to now turn the call over to Ryan.
Ryan S. Napierski: Thanks, B.G. Thanks, everyone, for joining the call. We spent some time this past quarter with our amazing and talented top leaders in our annual Team Elite incentive trip in Greece, where we aligned around our vision, strategy and plans for our next big opportunities, which I'll get to in just a moment. But before I get to the strategy, I'll begin with an overview of our Q2 performance, then provide an update on our key strategic priorities for the remainder of 2025 as we continue pursuing our mission of being a global force for good by empowering people to look, feel and live better lives. I'm pleased to report that we delivered revenue at the high end of our guidance range and significantly exceeded our earnings per share forecast for the second quarter. We achieved revenue of $386.1 million. More notably, we delivered earnings per share of $0.43, well above our guidance range of $0.20 to $0.30. This strong earnings performance reflects our disciplined approach to cost management and operational efficiency improvements that we've been implementing across the organization. As we review our reporting segments, we're seeing encouraging signs in several parts of the business as we navigate the macro environmental uncertainties impacting consumers around the world. We continue to drive strong year-over-year growth in Latin America as our developing market strategy takes hold in the region. This was offset by declines in North America, which has faced increasing macro pressures on the business. Japan reported growth in the quarter and continues to benefit from a strong subscription- based wellness business. While revenue in South Korea and China was down due to persistent economic challenges, we're seeing signs of sequential improvement. We experienced growth in the Pacific, while the rest of Southeast Asia remained sluggish. Europe and Africa also experienced improving trends in customer and new sales leader engagement with our enhanced sales performance plan. And our Rhyz segments performed well with manufacturing reporting 17% up year-over-year in the quarter. Now let me update you on our strategic priorities for 2025 as we made significant progress in preparing our sales leaders for these next opportunities. First, we're making good progress in bringing to market our next big innovation, Prysm iO, our truly intelligent wellness platform. As I mentioned in Q1, Prysm iO was built upon more than 20 years of selective scientific research and development and our extensive antioxidant database that contains more than 20 million scans from 10 million participants across more than 50 countries. By utilizing AI capabilities to interpret this data through our own proprietary new intelligent platform, we'll be able to provide our customers with truly intelligent healthy lifestyle insights as well as personalized product recommendations to improve their antioxidant score and support their wellness journey. In just 15 seconds, this palm-sized device will accurately and noninvasively measure carotenoid levels in the skin via the fingertip. As we educate consumers on 4 primary dimensions of health, diet, fitness, oxidative stress and supplementation, their Prysm iO score can provide insights to motivate them to implement lifestyle changes aimed at improving their overall health span. We'll begin rolling out Prysm iO in limited quantities for qualified sales leaders during the fourth quarter of this year, followed by broader leader launches around the globe in the first half of 2026 and consumer launches anticipated to the back half of the year. The Prysm iO launch will be accompanied by enhanced and expanded line of geographically customized LifePak product solutions as well as other targeted wellness products via our subscription-based retention model. We will be reformulating our leading line of nutritional supplements, leveraging the latest metadata and scientific research to meet geographic dietary needs at various pricing tiers. For example, studies show that Vitamin E is often underconsumed in many parts of the world, which can negatively affect immune and cardiovascular health. Adjusting Vitamin E levels for these areas provide customized product solutions to better meet the needs of diverse consumer segments around the world. As consumers are growing increasingly more conscientious about their overall well- being, we're excited about the potential impact of Prysm iO and our revolutionary intelligent wellness platform. And with our unique ability to provide customized subscription-based product solutions that support one's overall health and well-being, we are uniquely positioned to play in this rapidly growing wellness movement. Our second key priority is our developing market strategy, which continues to deliver remarkable results in Latin America, which reported up more than 100% year-over-year in revenue, customers and sales leaders. Nu Skin has historically been known for a premium market positioning in the beauty and wellness space. And as we envision a more expansive future for our company, it is imperative that we broaden our positioning to appeal to emerging segments in both existing and new markets. We continue to learn and gain insights that help us expand the strategy into other markets, including India, which represents an enormous opportunity given the 1.4 billion population and rapidly growing beauty and wellness industries. As we prepare for India, we're following the simplified and scalable business model, including a localized product portfolio containing a new masstige brand called [indiscernible] that is priced for India's growing middle class. This targeted product offering, combined with a refined compensation plan and a digital- first operating infrastructure will enable a more focused and scalable path to growth for this emerging market. We're on track with our plans in India for a Q4 premarket opening for qualified India eligible sales leaders and are building towards a formal launch anticipated in mid-2026. We remain excited about the prospects for India and our other developing markets, which we anticipate will become a much larger portion of our revenue moving forward. And thirdly, we're pleased to see overall margin expansion through Project Accelerate, our ongoing initiative to improve operational efficiencies to strengthen our bottom line. We're focused on 3 key drivers: improving gross margin in the core Nu Skin business to 78% through product portfolio optimization, selling expense alignment to better reward growth in our sales force and G&A prudence around the globe. Overall, our efforts led to significant improvements in our Q2 operating margin to 8%. We have also strengthened our balance sheet to become a cash to debt positive, which provides us with greater flexibility amid market fluctuations and an improved ability to invest in growth initiatives and return value to shareholders. One last point I'd like to mention is about Rhyz, our innovation incubator. As we experienced with our recently transacted Mavely business, which generated approximately $200 million in value to the balance sheet, Rhyz plays a strategically significant role for our enterprise. Notably, Rhyz manufacturing, which grew 17% year-over-year, enables us to gain speed to market for new cutting-edge beauty and wellness innovations. For example, our U.S. business recently introduced M-Smart, a drink mix in that helps support a healthy blood glucose response after meals and brought it to market in less than 2 months. Another Rhyz business, LifeDNA, a genetic wellness assessment business, continues to perform ahead of expectations, and we anticipate will support our broader intelligent wellness platform vision in the future. So with that, I'll turn the time over to James, who will provide more financial details, including our updated guidance for the remainder of 2025. James?
James D. Thomas: Thank you, Ryan. Good afternoon, and thank you for joining us today for our Q2 earnings call. I'm pleased to provide an overview of our performance for the second quarter of the year, including key highlights, challenges and our outlook for the rest of 2025. As always, I'll walk through the financial results, touch on some key business dynamics, discuss our outlook for Q3 and the rest of the year as well as provide an update on how we're navigating the current macroeconomic environment. Turning to our financial results for the quarter. I'm pleased to report solid performance in several key areas. For the second quarter, we delivered revenue near the top end of the range at $386 million, with neutral foreign currency impact. Earnings per share came in at $0.43. This surpassed our guidance by $0.13 and demonstrated significant improvement over the prior year $0.21 adjusted earnings per share due to our cost efficiency efforts deployed over the [ last 2 years ]. Our Q2 gross margin was 68.8% compared to 70% in the prior year, primarily due to the revenue mix between Rhyz entities and the Nu Skin core following the sale of Mavely. Within our core Nu Skin business, gross margin was 77.5%, up 140 basis points from the prior year, resulting in 4 quarters of sequential adjusted gross margin improvement. We're continuing to see the benefits of our portfolio optimization and operational refinement efforts. Selling expense as a percentage of revenue was 33.2% for the quarter, a decline from the prior year, primarily reflecting the impact of the Mavely sale on the overall revenue mix between our core Nu Skin business and Rhyz. Within the core Nu Skin segment, selling expense was 40%, down from 42.2% in the prior year. The decline was largely driven by lower sales performance in the U.S., China and Southeast Asia Pacific markets compared to the prior year. For the core, we anticipate selling expense to remain around 40% as the enhanced compensation plan continues to gain adoption. General and administrative expenses were down $11.2 million compared to Q2 of 2024, reflecting cost reduction efforts in labor and a migration to a shared service model for technology. It did increase on a percentage basis due to the overall declines in revenue. Operating margin for the quarter was 8%, up 260 basis points from adjusted operating margin of 5.4% in the prior year due to our disciplined approach to operational efficiencies. Improving our operating margin remains a long-term priority, which positions us to reinvest in the business through growth initiatives like Prysm iO and new market expansion into India. We will remain disciplined and adaptable, especially when navigating the continued top line pressures and evolving market conditions and are very pleased with our operating income results year-to-date. I'd now like to turn to our balance sheet and liquidity position. We generated strong cash flow from operations in the quarter of $35.8 million, which enabled us to achieve our goal of becoming net cash positive ahead of schedule, the first time we've been in this position in more than 4 years. This net cash position provides us with strong financial flexibility, enabling us to navigate economic uncertainties more confidently, invest strategically in growth and return value to shareholders. We ended the quarter with $264 million in cash. In line with our capital allocation strategy, we returned approximately $3 million to shareholders in the form of a dividend. We did not repurchase any stock and have $157.4 million remaining under our current share repurchase authorization. Looking ahead to the remainder of 2025, we're encouraged with the performance of the business through the second quarter. At the same time, we remain mindful of ongoing global uncertainties, including potential tariff impacts and evolving geopolitical conditions. Given these factors and continued uncertainty around consumer durability in our key markets, we're taking a disciplined and measured approach by narrowing our revenue outlook for the back half of 2025 and increasing our earnings per share as we've proven our ability to deliver profitability, notwithstanding market headwinds and pressures on the business. We project third quarter revenue between $360 million and $390 million, factoring in an expected foreign currency headwind of approximately 1%. Q3 earnings per share is anticipated to be in the range of $0.25 to $0.35. For 2025, we project revenue of $1.48 billion to $1.55 billion and earnings per share of $3.05 to $3.25 with adjusted earnings per share of $1.15 to $1.35. To conclude, we are pleased with our Q2 performance and continue to stay focused on driving our strategy forward despite ongoing global challenges. We remain confident in our ability to adapt and are committed to driving operational performance, managing costs, accelerating growth in key regions and maintaining a strong financial position. We look forward to updating you on our progress as we move through the third quarter of 2025. And with that, operator, we'll now open up the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Dave Storms from Stonegate.
David Joseph Storms: Just want to start at the top here maybe with -- maybe just some thoughts around the puts and takes on your guidance. Great to see you guys narrow that range. But are there any initiatives or geographies that can maybe have an outsized impact that will put you on the higher end or lower end of that guidance?
Ryan S. Napierski: Dave, yes, just -- maybe I'll share my thoughts and then obviously, James, can dive into it a little bit better. But I think as I mentioned through first half performance, we continue to see Latin America overperforming expectations, a little bit offset through North America, which is a key market, and we're working to improve there. Again, puts and takes, as you said, it's Korea and China. Korea, we're seeing improving trends there. China is always a big question mark, especially with the macro uncertainty there economically and just geopolitically. So those are probably for me the ones that are like top of mind would be those North America, China, Korea, whereas Europe, Southeast Asia and Japan and LatAm, I think are going to are going to do better. But James, any additional color from you?
James D. Thomas: No. As we look across the landscape across the first 2 quarters of the year, there was a lot of shifts between geographies and the performance between the outcomes of our reported numbers through Q2. When we looked in the back half and we're forecasting out forward and Ryan touched on the ones where we see -- we've rolled through that overperformance and then also adjusted those other markets that have underperformed through the first half and looked at the energy maps and the programs that we have running in each of those regions. He touched on the highlights for us. Latin America continues to perform well. Japan continues to hold steady. And the other markets and regions, we're looking forward to our Q4 launch of our Prysm iO as well as getting ready and staging for the opening of India.
David Joseph Storms: That's great color. I appreciate that. And then maybe just double-clicking on the strength seen in Latin America there. Are you able to highlight what's really working there? And how much runway is left? Does Prysm iO turn into -- is that pouring gas on the fire for Latin America? Or just kind of how you see that playing out in the near term?
Ryan S. Napierski: Yes. Latin America has been an interesting journey for us. Obviously, at the macro level, it's always been a region that has enormous potential in direct selling. But for us, has maybe been underrepresented. What we're pleased with there, we took a different approach there about 2 years ago, aligning with our leaders there around how we would simplify the model to really get a focus that would enable us to scale more profitably. And what we ended up finding out is the more we focused and simplified the model from an operational efficiency perspective, the better the sales force aligned and focused. And so to true extent, less was more and from there, that was borne into kind of a 3-pronged strategy from the product side, the business model side and then the operational side. So at the product level, really retuning the portfolio to hit at the right price points with a good retail profit from a sales leader perspective. So working through margins there, and that was important. On the business model side, as I mentioned, it's critical in those markets that there's a healthy and reliable retail profit that's made to the seller in addition to the incentives that we align around growing the channel. And so striking the right balance between that selling and referring together with our new sales performance plan is working really well. And then that last prong of scalable infrastructure there. So really focusing much more on the technical and technology-based support rather than hard cost infrastructure has proven to be helpful there, being able to get to the needs of the consumers and affiliates down there. So I think those are really the elements of when we talk about the developing market strategy, even in India, same 3 types of elements will be focused on the portfolio, the business model and the flexible digital-first infrastructure. Prysm, I think, will be an additional help there. Latin America historically has been a beauty origin market. The majority of our business down there is that, but we have some good nutritional products like our Collagen line down there that kind of spans the two. Our sales leaders are really excited about Prysm and think there's a great opportunity moving forward with this expanded LifePak line, which is our premium nutritional supplement that works really hand-in-hand with Prysm. And we have a new formula called LifePak Elements that we'll be introducing down there next year that we anticipate will further strengthen the offering down there.
David Joseph Storms: That's great. I really appreciate that. Turning to -- at the consolidated level, the cost optimization that you've been kind of driving here, it seems to really be making some strong progress. When you're thinking about it going forward, how many levers do you still see to pull there? Is there any low-hanging fruit that could continue to drive margin improvement year-over-year like we saw this quarter?
James D. Thomas: Yes, I'll take that question, Dave. For us, we talked about earlier about 4 consecutive quarters of sequential growth in gross margin. That is the result of cumulative efforts across the [ last 2 years ] mainly and working through the inventory and the turns to get that flow through our cost of sales, so the lower overhead will roll through. We still believe that there's still opportunity there as we've lowered our inventory levels and manage that to be really in line with our overall revenue. Selling expense, we continue to optimize for us. That's something that helps the field and generates the top line. And so we're really focused on spending efficiently where we can to make sure that we're optimizing performance. And then G&A, we're going to continue to focus on our operational footprint, like the developing market strategy that Ryan talked about in Latin America. We're looking across the scope of all of our markets and continue to look and find opportunities where we can use technology in place of physical presence or labor and continue to find opportunities where we can deliver more dollars to the bottom line. So we're going to continue our efforts, and we feel confident in our ability to navigate our forward.
David Joseph Storms: That's great. I really appreciate that commentary. Maybe just one more for me. You ended the quarter with a strong balance sheet, and you mentioned that it gives you a lot of flexibility. Just if you could help us maybe prioritize what your capital allocation priorities are going to be in the back half of the year given that flexibility?
Ryan S. Napierski: Yes. And maybe I could -- I'll have James kind of go into the detail on capital allocation. But I mean, obviously, for us, investing in growth of the business is critical and kind of doubling down on our 2 growth opportunities, Dave, for us that are always front and center. First, from an innovation standpoint, Prysm iO, as we're building upon the extensive database that we've created over the last 20 years to now take that forward in a new device that is -- really literally can fit in anyone's pocket anywhere. This device, coupled with our database, extensive database and then the app, the intelligent wellness app coming along is a major -- for us, it's a major focus and source of investment as we lead out into this new world. And then, of course, leaning into developing markets. Again, we have a scalable model. We're taking a very different approach, digital first there. So we're not talking about massive fixed cost infrastructure investments, rather, we're really building it out to be scalable. And so as we go into India, that's a priority and making certain that we're really allocating our investment into growth first. But James, maybe you can talk more about capital allocation.
James D. Thomas: Yes. Our capital allocation strategy has been consistent. We fund the business. We look for opportunities where we can find the growth, like Ryan mentioned, right now, Prysm iO, India and then other several initiatives inside the business, we're heavily funding. The second one is making sure that we're able to service our debt, that we can manage our obligations going forward with where we're in a really healthy position. And the third is to continue to pay a strong dividend, return value to shareholders through both our dividend and then when opportunity permits to be able to be in the market to repurchase shares. And so that's really what we have and we're looking forward. And we also look for other opportunities where we can take advantage of potential opportunity that may arise to go after growth.
Operator: I am showing no further questions at this time. I would like to turn it back to Ryan Napierski for closing remarks.
Ryan S. Napierski: Well, we really appreciate everyone joining the call. If you have additional questions, please reach out to B.G., James, myself to answer those. We're very, very excited about the future as it's unfolding. We were pleased with our first half results and are now very focused on second half in preparations for 2026. We're going to be driving these 3 priorities across the business of accelerating innovation with Prysm iO and our intelligent wellness platform, strengthening our core business with developing and emerging markets beginning with India and then driving operational performance and efficiency, all with an end game of strengthening shareholder value as we provide greater opportunities for our empowered sales force, affiliates and powerful leaders around the world, where we provide them opportunities to grow and empowerment initiatives is where we find success in our business. So that's what we're acutely focused on. We'll look forward to updating you in coming quarters. And so please join the calls and reach out with any questions. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program, and you may now disconnect.